Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Ping Identity Q2 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Also please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. David Banks, Head of Investor Relations. Thank you. Please go ahead.
David Banks: Thanks, everyone, for joining us today and welcome to the Ping Identity conference call, where we'll discuss results for the second quarter, provide outlook for the third quarter and update our outlook for the full year 2021. Shortly after the market close today, we issued a press release announcing our second quarter 2021 financial results. In addition to the financial results, we'll be presenting a live supplemental set of slides through the webcast portal. These will be published to our website following the call. You may access the press release and presentation on the Investor Relations section of pingidentity.com. With me today is Andre Durand, our CEO; and Raj Dani, our CFO. Today's discussion may include forward-looking statements. Please refer to our Annual Report on Form 10-K for 2020 and our quarterly report on Form 10-Q for the quarter ended June 30, 2021 filed with the Securities and Exchange Commission. There you will see a discussion of factors that could cause the company's actual results to differ materially from these statements. I would also like to remind you that during the call, we will discuss certain non-GAAP measures related to Ping Identity's performance. You can find the reconciliation of those measures to the most closely comparable GAAP measures in our second quarter press release and the slides we're posting on our website. To ensure we can address as many analyst questions as possible during the call, we ask that you please limit your questions to one plus a follow-up. We will end the call after 60 minutes. With that, I'll turn the call over to Andre.
Andre Durand: Thank you, David. Q2 was a strong quarter from several perspectives. We drove further momentum against all our key performance metrics driven by solid execution and many outstanding sales wins. Annual recurring revenue grew by 19%, including a contribution from SecuredTouch, which we acquired in June. Revenue of $78.9 million grew 34% year-over-year reflecting terrific sales results and lengthening contract durations. Our dollar-based net retention rate improved two points to 111% from Q1, and we generated $15 million of unlevered free cash flow. While we're excited about the improvement in growth and financial performance that Raj will cover in more detail later, we're equally excited about the progress made against several other key strategic initiatives within the business. In June, we hosted our 12th Annual Identity Industry Conference, Identiverse. During my keynote, I announced several new products and capabilities, including the acquisition of SecuredTouch last month, and our intent to help enterprises combat fraud in their customer-facing use cases. As the spotlight on Identity has intensified, conversations with our customers are moving higher, broader, and with a sense of urgency that is more palpable than ever before. Identity is now recognized as the centerpiece of security, trust, privacy and the delivery of great customer experiences, all foundational to digital transformation initiatives. Accentuating the shift in mindset is the proliferation of recent breaches, which many believe could have been avoided with better identity security. But as identity becomes the gate, it's identity that we must fortify. Our job at Ping along with the broader cybersecurity ecosystem is to enable a single centralized, secure identity control plane, where every user is strongly authenticated and appropriately authorized to access any application or resource irrespective of location. To deliver on this mission, we're focused on four key themes; number one, delivering our entire platform in the cloud to help companies secure their hybrid IT environments; number two, delivering on the vision of frictionless identity for the customer use case through passwordless and user experiences; number three, enabling the easy migration from legacy solutions to the Ping platform; and lastly, embracing our partners to help us deliver our solutions at scale. At Identiverse, we made several important announcements, which highlight our commitment to these themes. First, we announced that our entire PingOne platform can now be administered from our new unified cloud admin portal to solve both workforce and customer use cases. Second, we introduced PingOne for individuals to directly address the emerging opportunity around privacy while reducing the burden of regulatory compliance for enterprises. This new solution leverages the ShoCard acquisition made last year to allow users to store and share at their discretion, their personal information with businesses or other individuals. Finally, we announced the acquisition of SecuredTouch, an Israeli-based company, focused on reducing fraud and customer interactions. By leveraging behavioral biometrics, artificial intelligence and machine learning, SecuredTouch provides identity, risk and fraud teams, unparalleled early visibility into the potential malicious activity happening across digital properties even prior to a user creating an account. We see this as a vital new capability for our customer solution and for achieving our vision of frictionless identity. As we look to the back half of 2021, we're excited to share the two of our products have been approved under the Department of Homeland Security’s CDM program, which was spotlighted in the May 12 executive order on improving the nation's cyber security. Now I'd like to turn our attention to our customers and highlight some of our Q2 customer wins with a strong quarter in this regard, with several significant transactions contributing to our best ever second quarter of ARR revenue and cash generation. Notably, we saw strong demand for our new PingOne advanced services, and interest is steadily growing as the market begins to appreciate the sophistication of this offering. In addition to several new notable customers, such as Avaya, which I'll cover shortly, were pleased with our deepening relationships with existing customers. In Q2, we experienced a 50% plus improvement year-over-year in the number of customers spending north of $1 million in ARR. We also surpassed two other key milestones with more than half of our customers now leveraging at least two capabilities and 25% leveraging three or more. But nothing accentuates the significant irrelevance of Ping to the future of security than the recent expansion by Boeing in the quarter. The aerospace manufacturing giant was looking to modernize its identity and access management system, move to the cloud and adopt a zero-trust security posture centered on strong identity controls. Boeing turned to Ping to help with the strategic initiative and to grow our 15-year partnership by signing a multi-year contract for PingOne advanced services to secure all B2E, B2B and B2C interactions. Another significant transaction in the quarter was Avaya. In a very competitive win, Avaya became a new Ping customer in June, signing up for a broad suite of Ping’s workforce and external capabilities to replace unsupported legacy and homegrown identity solutions. With nearly $3 billion in annual revenue, Avaya employs people from around the world as a global leader in solutions to enhance and simplify communication and collaboration. The company serves customers worldwide across banking, insurance and healthcare industries among others. Many of these customers have strict security compliance and scalability requirements that Ping is able to match. Avaya will leverage our full array of PingOne solutions in a combination of software and cloud deployments, including our PingOne advanced services. These solutions create a single platform to enable management of use cases and standardize architectures to help create consistent user experiences. Internationally, we expanded our relationship with Banco Itaú. Based in São Paulo, Brazil, Banco Itaú Unibanco is the largest financial institution in Latin America, serving 55 million customers globally. They signed a new multi-year contract for the customer use case deployed in AWS. Ping will enable Banco Itaú to meet their Brazilian open banking requirements as we scale to create better customer experiences and replace a combination of open source and homegrown solutions. This was a great example of leveraging our channel partner, Netbr, which has been selling into Itaú for two as a trusted advisor. We also grew our relationship with Delta Air Lines in the quarter, signing a multi-year contract that included a renewal of their workforce solution and a significant expansion into the customer use case. Delta's growth into the customer use case is a common theme in our business. As we gain the trust of our customers, we often see them expand from one use case to the other. In addition to the quarterly sales, we also had some notable go live events in the quarter. We expanded our footprint with Wells Fargo, a Fortune 50 financial services company with nearly $2 trillion in assets that serves one in three American households. Wells Fargo has leveraged Ping Identity for its 70 million plus customers since 2012, and decided early this year to extend the relationship with Ping to their workforce, in a migration from a competing SaaS vendor. The expanded solution will now serve all of their 266,000 employees for authentication and single sign-on. This standardization on Ping's platform has allowed them to consolidate multiple vendors, simplify their architecture and reduce costs in a single solution that leverages Ping’s Cloud Your Way advantages. Also in the second quarter, we brought Sharp HealthCare live on their expanded Ping offerings to launch a world-class digital and unified customer experience. While placing a heavy focus on customer privacy and compliance with the CURES Act. Sharp is a not-for-profit regional health care group located in San Diego with 2,600 physicians and 18,000 employees. In May, we added PingDirectory and PingAuthorize to their suite to help Sharp, better manage data sharing requirements. For example, when capturing patient consent to release any data to third parties. We're proud to work alongside ProofID our north American partner of the year to assist Sharp in their implementation. In all of these deployments, we continue to lean into our growing network of partners, both in pre-sale, sale, implementation and ongoing maintenance of our solutions. To support these partner efforts, we've created a sales certification program and we far exceeded our first half goals for the number of partners certified under the new program. In closing, I'd like to thank the Ping team and congratulate them on winning Best Identity Management Solution in the 2021 SC Awards. I'd like to also officially welcome Jason Wolf as our new Chief Revenue Officer. Jason has experienced working on five different continents. He is a highly accomplished sales leader with a long track record of success at SAP. Finally, I'm pleased to announce we plan to hold our upcoming Investor Day in Q4 on December 1. We'll provide more details on format and logistics as the date draws closer. And with that, I'll now turn the call over to Raj to walk through the Q2 results in more detail and update our outlook for Q3 full year. Raj?
Raj Dani: Thanks Andre. We had an impressive second quarter of accelerating growth and delivered above our guided ranges for all key metrics. We ended Q2 with ARR of $279.6 million up 19% year-over-year. Q2 net ARR of $13.4 million was up 153% compared with a $5.3 million of net ARR added in Q2 of 2020. This quarter’s results included ARR of $1.5 million from SecuredTouch, which contributed approximately 50 basis points in growth. This quarter’s performance reflected a return to the type of results we were seeing pre-COVID with run rate growth aided by a few large deals. We were expecting a couple of the larger deals that closed very late in the quarter to close in the second half of the year, which further contributed to the Q2 growth rate. Additionally SaaS ARR surpassed the 20% threshold in the quarter as we experienced increased adoption of our SaaS solutions. Second quarter, total revenue grew by 34% to $78.9 million of which 93% was subscription-based. Growth was driven by solid performance across the board. SaaS revenue grew 51% in the quarter to $13.4 million, primarily from increased adoption of PingOne Cloud platform. SaaS revenue has grown nicely over the past six quarters with CAGR of 44% and we expect growth between 40% and 45% to continue in future periods. We previously coupled SaaS revenue with subscription, maintenance and support in our financial statements, which collectively increased 34% in the quarter. Given that SaaS revenue is an increasingly meaningful contributor to total revenue. We have broken it out separately from maintenance and support, and we will continue to provide both as standalone metrics going forward. You can find these metrics in the footnotes to our 10-Q and our supplemental presentation. Additionally subscription term-based revenue grew 35% in Q2 with particularly strong growth in the multi-year term category, driven by larger deals and lengthening average contract durations. Given the impact that deployment mix and contract duration have on GAAP revenue, we continue to believe that ARR is the key growth metric of our subscription business. As was the case last quarter, our ARR once again outpaced the trailing 12 month revenue. The difference between those metrics has converged somewhat throughout 2021 and should continue to converge over time. This reflects the ongoing SaaS transformation we have been calling out for several quarters. Our Q2 dollar-based net retention rate was up to 111% calculated on a trailing 12 month basis and again, tracking consistently with accelerating ARR growth. We ended the quarter with 279 customers with more than $250,000 in ARR up 15% year-over-year. Unless otherwise stated for the remainder of the P&L, I will refer to non-GAAP metrics. You can find a reconciliation of non-GAAP to GAAP numbers in the accompanying press release. Gross profit margin for the second quarter was 81% and comparatively our GAAP subscription gross margin was 86%. Despite our strong 51% year-over-year growth in SaaS revenue, our subscription gross margins were consistent with Q2 of 2020. Total operating expenses in the second quarter were $51.2 million. We delivered another strong quarter of unlevered free cash flow with $15 million in the quarter compared with $4.7 million in Q2 of 2020. Operating cash flow was also strong had $19.9 million in the quarter. We out-performed on these metrics in the quarter as a result of higher ARR growth than expected as well as timing of cash collections, which we expect will have the reverse effect on our Q3 unlevered free cash flow. We remained in the strong cash position at the end of the quarter with $104 million of cash on hand, this was driven by drawing $80 million on our revolver, $40 million of which was used in acquiring SecuredTouch in the quarter and the remainder of which we anticipate using for general working capital purposes. This puts us in a strong net cash position as we enter the second half of the year. Before I turn to guidance, I'd like to provide an overview of stock comp impacts this quarter, which were more pronounced due to performance-based awards that vest when Vista realizes a $1.491 billion return of its investment in Ping. In Q2, these awards became probable vesting, which resulted in $9.4 million of incremental stock-based compensation expense recognized in the quarter and additional $6.3 million of stock based compensation expense related to these awards will be recognized over the remainder of 2021. As a result of these awards, we continue to anticipate our 2021 annual stock comp will represent between 18% and 20% of ARR versus about 8% normalized. Moving now to guidance, for the third quarter, we project ARR of $286 million to $288 million, growth of 18% at the midpoint compared with Q3 of 2020. We expect Q3 revenue growth of 13% at the midpoint of $65 million to $70 million, a slightly wider range than in prior quarters given the quarterly variability in this metric. We expect unlevered free cash flow of negative $16 to negative $13 million in Q3 related to the timing of collections in Q2. We are raising our full year 2021 ARR estimate to between $304 million and $306 million, up 18% of the midpoint compared with the full year of 2020. We now project annual revenue of $278 million to $285 million, growth of 16% at the midpoint. We continue to expect unlevered free cash flow for the year of $11 million to $15 million up 48% at the midpoint, relative to our 2020 performance. Note, that this includes the impact of the SecuredTouch acquisition. In closing, we feel encouraged about our first half performance. The overall market seems to reflect their return to normal and drives our optimism about the second half of this year and beyond. With that, I'll turn it over to the operator for your questions.
Operator: [Operator Instructions] Your first question comes from the line of Matt Hedberg from RBC. Your line is open.
Matt Hedberg: All right. Thanks, guys. Thanks for taking my questions. Congrats on a really strong quarter. I guess, Andre, I guess, with that as the backdrop, obviously, it feels to me like the demand environment is certainly improving, some of these deals renewed a bit early. I wonder if you could spend a little bit more time on just some of these post-COVID trends. And are you starting to see some of these customers that may be stalled or delayed purchases to come back with a bit more urgency? I'm just trying to get a better sense of kind of what's driving some of these strong results.
Andre Durand: Yes. Matt, we absolutely are seeing that. So Q2 is seasonally strong for us, but we did experience a better-than-expected close rate. As we reported earlier, large deals are back. Some of those deals were expected to close in H2. They ended up closing here in Q2. The pipeline does reflect that health and is tracking to plan. And we're also seeing strong interest in Ping's cloud offering, which has been maturing quickly throughout this year. Combination of all of those and what we'll call the external macro environments, where I think a number of companies now have had an opportunity to assess their security’s posture in this growing environment of cyber threats. There seems to be almost universal recognition that identity is the future of security. And as a result, many of these companies are now beginning to fund at a larger scale and with more urgency their identity projects.
Matt Hedberg: That's great. And I guess maybe dovetailing on that, on the call you noted Boeing and Delta with some expansion. It seems like both are using the workforce or the customer side. Can you tell – and I think historically you said about 25% of your customers use Ping for both workforce and customer side. Where do you see that going over time? And how do you think you can be even more successful promoting some cross-sell of those two products?
Andre Durand: We’re central to our theme and consistent with our history of one platform for all identity types. The company had a long history of serving both use cases. Historically, our ARR was roughly split equal between the workforce and the customer use case. And if you go back three or four years ago, while we've been successful serving both use cases, there was not nearly the level of cross-pollination of teams as we are seeing now. So I probably talk with a dozen large customers a week, and there is an undeniable growing trend of what I'll call the roll-up of responsibility for the identity team now inside of the security team. And for the combination of those two to be talking about the investments and partnerships that they're making between the workforce and the customer use case. So that number is up from prior years. I do believe that that number will improve. When I say that number, the 25% of customers that use us for both use cases. In all the conversations I'm having, there is a trend where companies are looking to get better leverage out of their technology partner, their technology choices and the underlying infrastructure and platforms that they're using. So we very consciously do market to both use cases. We are leaning in to the customer use case fairly aggressively, that is beginning to pay off. We do see faster ARR growth. The market is greenfield, but growing faster, and we think ultimately will be larger.
Matt Hedberg: That's super helpful. Thanks, Andre.
Operator: Your next question comes from the line of Brian Essex from Goldman Sachs. Your line is open.
Brian Essex: Hi, good afternoon. Thank you for taking the question. Congratulations on a fantastic set of results. I was maybe – and I apologize if I missed this, I was jumping between a few calls, but can you dig into the multi-year term-based licenses and the growth there. Was that primarily multi-year that renewed for one year that was going back to multi-year? Maybe a little bit more color behind that and some of the dynamics there so we can better understand the potential volatility or stickiness behind the types of contracts under that number.
Raj Dani: Sure, Brian. Thank you. So revenue was obviously very strong in the quarter across the board growth really leading to the 34% revenue growth. The term-based license revenues, where the multi-year impact was definitely significant both on new and renewals. So we did see durations come back on both which is encouraging, but one quarter doesn't make a trend as we saw last year, right? So we did have a couple of larger deals that drove both the renewals and – the multi-year renewals and multi-year new ARR to end up in revenue in the quarter, but other than that it was fairly run rate.
Brian Essex: Got it. That's helpful. Maybe just to follow-up on the SaaS side of the house. You reached I think feature parity in 4Q last year. Any insight around what you're seeing in the pipeline or a little bit more detail around the velocity in the pipeline in terms of is this now making it through your kind of six- to nine-month sales cycles, and how we see the pipeline building? Or maybe just a little bit of help in terms of now that you hit that parity point how has attraction progressing in your pipeline and then through into revenue?
Andre Durand: Well, it’s certainly improving on the cloud side. Now I would suggest that the demand has always been there, the question is whether or not we had the product to meet that demand. So two things have really improved with respect to our cloud posture. One is, as you mentioned, we achieved feature parity in Q4 of last year. And it takes a little while for new capabilities of that magnitude to be fully understood both by the market, as well as our own teams. But we are seeing growing interest in demand in that solution as a migration path for existing customers who are utilizing a lot of those advanced features. The other kind of notable piece on the cloud is that the PingOne platform itself, which has been a long-lived investment for us, I also believe has reached a certain level of maturity. And the size and sophistication of some of the prospects in the pipeline now is representative of the maturation of that platform, I think are going to be solid proof points going forward. So all that is to say, I think the market demand has been there, and I think our competitive posture and the maturity of our platform is now beginning to meet it.
Raj Dani: One other thing I would just add to that, Brian is we did break out SaaS revenue growth or SaaS revenue in our disaggregated footnote for the first time. And so it has been making its way through the pipe. We have been seeing stronger closer rates – closing rates as Andre mentioned. But that 51% year-over-year SaaS growth rate in revenue and SaaS crossing over 20% of total ARR in the quarter, that's just indicative of the fact that that it's already making its way through the system. And we expect that SaaS revenue growth in the near-term to be sustainable above 40%.
Brian Essex: All right. Very helpful. Thanks.
Operator: Your next question comes from the line of Mike Cikos from Needham and Company. Your line is open.
Mike Cikos: Thank you. Thanks for all the disclosures today, specifically around access contribution. That's very helpful. Wanted to ask you, if I'm looking specifically at 2Q, can you help me better understand what was the contribution from large deals in 2Q that I guess you guys had originally anticipated to close in the back half of the year?
Raj Dani: Yes. It’s not completely clear cut, Mike, but I would say probably half a point to a point of our ARR growth. We just expected to kind of fall into Q3 or Q4. It's more a testament of part of the demand environment coming back as Andre alluded to earlier and also just the importance of identity projects, right? It’s these things, these projects and Ping solutions are mission critical and it was customers really driving the timeline here.
Mike Cikos: Okay. That'll make sense. We totally view identity as one of the cornerstones of security. And I guess just one other follow-up if I could, but could you help me better understand, you guys had two products specifically that were approved for the Department of Homeland Security’s APL and obviously the cyber executive order. Just curious, what are you guys seeing on the federal front? And I'm also trying to wrap my head, but any color you could provide, what is federal historically been as a contribution to revenues for you guys? Are you seeing increased urgency on their side as well given the increased threat environment in some of these executive orders? Thank you.
Andre Durand: That role has been historically opportunistic for Ping. That said, we do have several pretty significant federal customers. Beginning part of this year, we made a concerted effort to invest in federal on two fronts. One is we now have a fully functional federal team in place. The second major effort in addition to that, getting on the approved product list for the Homeland Security CDM program is that we do expect FedRAMP certification by the end of 2021 to support our efforts in federal. So historically federal has not been a focus. We've been opportunistic there. We do have several significant customers. This year we're investing in it. We expect that to yield results next year.
Mike Cikos: Thank you very much, guys.
Operator: Your next question comes from the line of Patrick Colville from DB. Your line is open.
Patrick Colville: Hey, thank you so much for taking my question, and congrats on turnaround versus last year. Just to understand, I guess these large deals, it's always impressive to close deals like that. How would you feel about the second half of the year? Guidance suggests slightly slower growth in the second half of the year in ARR than we saw this quarter. Is that like conservatism or is that because both of these outside deal this quarter and then the benefit from SecuredTouch?
Raj Dani: Yes, Patrick, I'll take that. This is Raj. Our overall philosophy on guidance has always been to the guide to what we see in front of us and that's what's baked into our guidance now, right? And we have seen this improving environment with some pent-up demand returning, but I still think it's too early to call it normal just given what's happening with the Delta variant and such. But we are confident, we're confident in where our solutions are in the market, the adoption rate, the customer environment. It's just we're looking at the pipeline, we're looking top down and bottoms up. And that's where I think the return to – in my prepared remarks when I talk about we saw a behavioral change to pre-COVID buying behavior, right, where we had a lot of run rate deals, but also supplemented by a couple of large deals each quarter, we did see that again in Q2. Now, could that be a trend? Potentially, yes. And we also do have some nice momentum and upside drivers that could play out. But right now, we're guiding to what we see in front of us.
Patrick Colville: That's helpful. And then, I mean, these are the calendar 2020, some of the commentaries around smaller deal sizes, less urgency in closing and deals being phased in. Those kind of three things now behind us, so the deal size is typically larger, kind of back to normal. Is there more urgency around deals and deals getting closed? Are the headwinds we saw in calendar 2020 now in the rear-view mirror? And are we kind of back to the Ping we know pre-COVID?
Andre Durand: It certainly feels that way. But as Raj said, one quarter is not yet a trend, but large deals are back. There is a sense of urgency for these projects, I think possibly built upon the fact that they had several months now to lay plans for identity for zero trust, for password list. We are kind of living in a new world and there's recognition that identity is pretty central to the security of this new distributed environment, certainly it’s new from home environment. So it does feel like there is a return of confidence and an urgency to these projects that feels similar to what we had experienced prior to COVID.
Patrick Colville: Okay. Thank you so much.
Operator: Your next question comes from the line of Adam Borg from Stifel. Your line is open.
Adam Borg: Hey, guys. Thanks so much for taking the question. Maybe just for Raj and I'll echo my thanks for the additional disclosures on SaaS, and it was nice to hear that gross margin really didn't have an impact. But as we look forward and we go from 20% to obviously something north of that in coming quarters, how should we think about the potential gross margin impact as SaaS becomes a larger part of the mix?
Raj Dani: Yes. Sure, Adam. This is Raj here. So typical with a SaaS business, there's infrastructure, there's people and their sport that you need to put in place, and in our case prior to a critical massive of SaaS revenue, right. And we are growing into that nicely, but certainly we think that in the future there will be at least over the next several quarters, there will be some pressure on gross margin as we continue to invest in the areas to make us and our customers really successful in their deployments. And then over time we would expect to see us grow into that. So I think your instinct is right, but we didn't see it in Q2, but there's potential for some slight movement downward there before we come back up. And we'll continue to collect the data points here and provide a better outlook in our Investor Day.
Adam Borg: That's great. That's really helpful. And maybe just a quick follow-up and more of a housekeeping items, just on the SecuredTouch acquisition, any commentary on the expected contribution inorganically for that for the full year?
Raj Dani: Yes. There won't be much this year. We're really focused on making sure we're getting integrated and getting the team ramp and getting the team integrated into paying and really building the pipeline amongst our base customers. That's probably the first order of business at least this quarter. And may be some slight contribution in Q4, but nothing meaningful. I think you'll really start to see the impact of SecuredTouch in 2022. It's such a critical technology and just so top of mind in the customer use case, and we just feel like this really gives us a much stronger and deeper and wider moat around that customer use case where we'd been historically very strong.
Adam Borg: Excellent, Raj. Thanks so much.
Raj Dani: Sure.
Operator: Next question comes from the line of Brian Colley from Stephens. Your line is open.
Brian Colley: Hey, guys. Thanks for taking my questions. So I'm wondering when you look at the 51% growth in SaaS, kind of how that breaks down between your existing customers just shifting over from your core software to SaaS versus growth from new customers?
Andre Durand: We have – our SaaS platform is a great land solution for us and we're seeing a increased adoption both from our base customers as well as new. I'd say for our PingOne Advanced Services, we did see a tick up in new logos from the introduction of that platform and – but now we're seeing in the pipeline that there's a lot of base customers that are looking at migration. So I think going forward, you're going to see more migrations onto that platform, whereas in the beginning we've seen more from new customers there.
Brian Colley: Got it. That's helpful. I'm also curious if you could just provide an update on the competitive environment and whether you're seeing improved win rates as a result of some of these enhancements you've made to the SaaS platform particularly with customers in the Global 3000 you moved, expanded that target market from Global 1000 to Global 3000. I'm curious if you're seeing higher win rates and kind of the lower bound of that market?
Andre Durand: We are absolutely increasingly competitive for the customers who have a cloud first posture. So I would step back and just say, the identity market obviously is a competitive market, but it's an extremely large and growing market as well and within that Global 3000 where we focus. We've built a platform now that's pretty competitively differentiated, trusted by north of 60 of the Fortune 100. You can see some of those expansions are pretty significant by longtime customers who in some cases, as in the case in Wells Fargo, we replaced a SaaS competitor with our offering. So I think what you should expect is increased competitiveness and increased win rates. And in some cases I'll suggest deals that were unwinnable by paying as little as six months ago are – I believe now Ping has a distinct advantage in some of the capabilities that we can provide. So that is been an investment, a long-lived theme and investment for ourselves that will continue into the future and I’d expect that our win rates have improved and will continue to improve there.
Brian Colley: Great. Well, I'll leave it at that. Thanks for the time guys.
Andre Durand: Thanks, Brian.
Operator: Your next question comes from the line of Gray Powell from BTIG. Your line is open.
Gray Powell: Great. Thanks. Yeah. So maybe wanted to follow-up on that one. Can you just kind of help us think how much of the success that you saw in Q2? How much of that was Ping specific versus macro, like specifically, like was the improved win rates in the bake-off that you're seeing, was that a bigger part of the performance or would you say it was just more related to just a better role, better overall market conditions?
Andre Durand: I think the macro trend is that we have an improving set of market conditions, but I do want to give credit to improving competitive posture that Ping has with our solution set. So the Boeing deal in particular was a cloud transformation deal, based upon our PingOne Advanced Services that I said was introduced last – late part of last year. And that's a pretty significant milestone when a company of the size and scale, and security posture of Boeing selects Ping as a strategic partner for their future identity and cybersecurity initiatives. So I can't say that the macro environment, we would not be giving ourselves full credit to how we've served Boeing and we've been a great partner and to the evolution of our cloud platform to be able to service that deal. So I think both have played an impact in the improved performance in Q2. I would say both probably played an equal impact.
Gray Powell: Got it. That makes a lot of sense. And then my other question. And I think everyone understands how identities becoming a more important part of the security stack, but I'd be curious how much or how often is the purchase decision being driven by something like a marketing department or digital experience or something that directly influences your customer's revenue versus just the security department?
Andre Durand: For the customer use case that's more the norm than the exception. So yeah, the line of business, the Chief Digital Officer, someone responsible for user experience, a consolidated user experience from a fragmented user experience is more common than not that the buying title is different than the security or identity needs. What we have seen however is that there is a growing influence by the identity teams and certainly by the security group as a whole is things like identity fraud and the customer consumer use case require that the company have additional skill sets to combat that with all their digital properties. So as I reported before, maybe an extreme case of this is that I was talking to one of our champions at a large top five bank. And he was describing how he was originally responsible for operations for the workforce identity security use case, then responsible for engineering. And in the last four months, they've consolidated well over a 1,000 people between the workforce and the customer use case for all cyber fraud and identity. Now that's an extreme scenario where a company has reorganized themselves to gain better leverage and understanding of their identity security posture across both use cases. But I do believe that is a sign of what's to come. I do not see an environment where identity sitting underneath the customer use case and the first line of defense against fraud and the foundation of exceptional customer experiences does not benefit, the companies don't look to have some sort of leverage between the two groups.
Gray Powell: Understood that's really helpful. Thanks and congratulations on the great numbers.
Andre Durand: Thank you.
Operator: Your next question comes from the line of Ben Schmidt from Piper Sandler. Your line is open.
Ben Schmidt: Hi guys, Ben Schmidt on for Rob Owens, thanks for taking my question. Andre, you talked a bit about how it takes time to educate both the market and your salesforce on the SaaS offering. And I'm wondering if you can talk a little bit about the progress with GSIs on that front and just how those partnerships are playing out with the SaaS product.
Andre Durand: Most of our connection in the channel with our SaaS product and our products in general, we have a very strong set of partners who exclusively focus on identity and are very deep and many cases exclusively focus on paying. Maybe one step up from those are kind of the national integrators, if you will we're not quite to the GSI scale. And there we have a growing set of partnerships as well. While we have many customers who have worked with GSIs and we've worked with all of the GSIs, and obviously the Fortune 100 GSIs are present in all of those accounts in NC paying. I would say that most of the interaction historically has been with our software on the GSIs. We're very focused on developing strong partnerships with the global GSIs. We are building upon successful deployments. There is good recognition of the importance of paying to the growing cyber practice. Those GSIs do see us in many of their strategic accounts and they are looking for stronger relationships with paying, but I would imagine that it will take some additional time for them to become familiar with our growing cloud and SaaS offering.
Ben Schmidt: Got it. Thanks. That's all for me guys.
Operator: Your next question comes from the line of Gregg Moskowitz from Mizuho. Your line is open.
Gregg Moskowitz: Okay. Thank you. And congrats on a very good quarter. And I apologize if my questions have been asked, just had multiple calls today. Andre, I know it's still early days, but is there anything new or different that Jason is putting in place from a go-to-market perspective?
Andre Durand: That's a good question. There are several focuses that we had as a company prior to Jason's arrival. Of course, we were looking for strength in some of those skill sets, Global 3000 solution selling is very important. And as our portfolio has grown, we're kind of moving beyond individual products, into use cases and into solutions. And Jason have a very strong background there, as well as channel, international and federal all kind of growth investment areas for us. We have not made any major changes or he has not instigated any major changes to the organization. I will say I'm impressed with really what I'll call the mindset that Jason brings with him. He's just got a great outlook on embracing the new in looking at the portfolio of capabilities and appreciating all of the ways in which we can land in a new customer or expand in a new customer. And so it's always good to see kind of a new perspective. I'm sure he's built the success in his career on that mindset. And I do see maybe some of the early things is bringing that mindset to think. But no major changes to the design of our go-to market.
Gregg Moskowitz: Okay. That's very helpful, Andre. And then Raj, I realize you don't disclose your customer account until the end of the year, but since we're at the halfway mark, are you able to say directionally how this has been tracking, vis-à-vis what you guys saw in 2019 and 2020?
Raj Dani: Yes, Gregg we will provide some more detail on that in December when we talk, but just directionally we're continuing to attract new logos, especially with our SaaS platform that creates a nice land for us. And of course that's offset by what we've typically considered to be non-regrettable churn logos where we're not a good fit for them and they're not a good fit for us. And as we continue to focus in on the Global 3000 ideal customer cohort, you can continue to see that kind of push and pull. But the nice part is that, the customers we are attracting are traditional growth accounts and great land and expand capability, and potential there. And you're seeing that in the ARR growth. So that's more of a focus for us.
Gregg Moskowitz: Great. Thank you very much.
Operator: Your next question comes from the line of Saket Kalia from Barclays. Your line is open.
Saket Kalia: Okay, great. Hey guys, thanks for taking my questions here. And similarly, I apologize if any of my questions have been asked. Raj, maybe I'll start with you. Great to see the beat on ARR this quarter. I believe the ARR outlook for the year is going up, but just a little bit less than the beat. So I'm just wondering, is there anything that we should keep in mind vis-à-vis sort of timing of deals or anything else to sort of think about when you compare it to the Q2 beat versus kind of what ARR is projected to do for the rest of the year?
Raj Dani: Yes, Saket. So as you know we always guide to what we see in front of us. And we did see very strong activity in Q2 and we're triangulating all data points. So top-down, bottoms-up and as well as the macro, we're also keeping a keen eye on the Delta variant and making sure that we don't have any kind of dip like we did last year, but that's hard to tell right at this point. So part of it is our enthusiasm and excitement about what we're seeing in the market and what we saw certainly in Q2, but it's a little too early to call normal and claim that we're back to this pre-COVID pattern, if you will, a bunch of run-rate deals coupled with some really large deals like we saw in Q2. Could that continue to happen? Sure. But we're not – we're just not calling that a trend yet.
Saket Kalia: Got it, got it. That's helpful. Maybe my follow-up for you, Andre. Great to see the increasing SaaS mix also really appreciate the increased disclosure there. I was wondering, how you sort of see the SaaS business long-term in terms of, whether it's mix, whether it's – yeah, I mean maybe I'll sort of leave it there kind of high level. Can you just talk about what the SaaS business here at Ping looks like long-term?
Andre Durand: Saket, as you know one of our thesis is that we're not going to live in a singular cloud world or even a singular SaaS world. In the large enterprise, hybrid is here to stay certainly hybrid IT environments are here to stay. And now I think everyone realizes that they're going to live in a multi-cloud reality as well. So the combination of a multi-generational hybrid IT, that doesn't shift and become singular in any one cloud and the reality that they're going to have assets in multiple clouds. The whole cloud, your way approach that Ping has the ability for us to deploy in one or more clouds. And I've reported in the past with some of our larger customers are doing is being coupled with now what I've seen in the last 90 days as a real awareness and focus on, I guess, what I'll call resiliency. And in particular cloud resiliency. A number of surveys have come out showing that most companies believe 92%, not just believe, but are drawing up a multi-cloud strategy. And it's not just resiliency driving that mandate. We're extremely well-positioned on that front. So I do believe that a lot of new run rate business down-market activity is going to optimize on speed of deployment of their identity control plane, and that speaks to a cloud-first requirement. But serving a Global 3000 in regulated industries and with this growing multi-cloud awareness, and there's growing awareness of multi-cloud resiliency, more specifically wanting to run the identity control plane in two or more clouds for resiliency and to combat lock-in, any vendor lock-in or cloud lock-in. I anticipate that that what today is the software part of our business being deployed in the cloud using our DevOps program is a long lived reality for us and a desired outcome for our large enterprises. So anyway, that was a long-winded way of saying, do expect our SaaS to grow and do expect that the growth rate that we're experiencing in SaaS to continue, we are projecting that. But do not expect that in the Ping world or in the Global 3000 that it becomes all SaaS, certainly not all SaaS overnight. We're going to see a healthy balance. Over time, I do believe SaaS will be the larger part of our ARR if you play this out four or five years, but the other part of our business is going to be very healthy.
Saket Kalia: That's very helpful. Thanks for fitting me in here, guys.
Andre Durand: Sure.
Operator: There are no more questions at this time. Presenters, please continue.
Andre Durand: So that concludes today's earnings call. Want to thank everyone for joining in. We look forward to providing updates as the year progresses, including our second half Investor Day scheduled for December 1, 2021. Thank you very much.
Raj Dani: Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.